Operator: Good day, and thank you for standing by. Welcome to the UGI Corporation Q4 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Tameka Morris, Senior Director of Investor Relations. Please go ahead.
Tameka Morris: Good morning, everyone, and welcome to UGI Corporation's fiscal 2022 fourth quarter earnings call. Joining me today are Roger Perreault, President and CEO; Ted Jastrzebski, CFO; and Bob Beard, Executive Vice President, Natural Gas, Global Engineering & Construction and Procurement. Roger and Ted will provide an overview of our results, and the entire team will then be available to answer your questions. Before we begin, let me remind you that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict. Please read our earnings release, our most recent annual report and our quarterly reports on Form 10-Q for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available within our presentation. Now, I'll turn the call over to Roger.
Roger Perreault: Thank you, Tameka, and good morning, everyone. I hope that you've all had the opportunity to review our fiscal 2022 year-end earnings release. On today's call, we'll review our financial results and several key accomplishments for the year, discuss our outlook for fiscal 2023 to 2026 before concluding with a question-and-answer session. Now let's start with fiscal 2022. We are pleased to report strong financial results, which were the second highest EPS on GAAP and non-GAAP basis in our history. Despite a challenging macroeconomic environment, we saw record earnings at our regulated utilities businesses and in our Midstream and Marketing segment. Our LPG business at UGI International continued their strong performance and this helped to mitigate the impact of headwinds faced at AmeriGas and in the European energy marketing operations. The geopolitical situation and extreme variation in natural gas and electricity prices in Europe had a significant impact on this year's European energy marketing results. Without this headwind, we would have been well within our original guidance range. I am proud of our dedicated employees who have worked tirelessly to execute against our 3R strategy, which is to deliver reliable growth, invest in renewables and rebalance our portfolio. Their commitment, as we deployed record levels of capital and focus on margin management, expense control and serving our customers and communities each and every day culminated in the strong fiscal 2022 results. Ted will provide more details on our financial results. But first, I'd like to highlight some key accomplishments and the important progress we've made across the business. In our Natural Gas business, our regulated utilities had an outstanding year. We deployed a record level of capital, investing $562 million to replace and upgrade our gas distribution infrastructure as well as our critical systems. This year, we replaced roughly 155 miles of pipeline, and the outlook for capital investment across our utilities is robust. We expect to continue a similar investment profile, driving reliable earnings growth. Our Utilities business also added more than 14,000 new residential and commercial heating customers, continuing a strong track record of annual customer growth. Also, with increasing spread between oil and gas prices as well as the 250,000-plus homes within 150 feet of our gas mains in Pennsylvania, there are continued opportunities for attractive customer growth. Next, at fiscal year-end, we received approval of our Pennsylvania gas base rate case that included an increase in base rates of $49.45 million in two phases, $38 million that went into effect on October 29 of this year and another increase of $11.45 million in October 2023. We are also pleased to have received approval to implement a weather normalization adjustment rider at our PA gas utility beginning in November 2022. For our PA residential and small commercial customers, the adjustment provides bill relief in severely cold months and provides for more stable gas bills overall. The weather adjustment is applied as a surcharge or credit to monthly bills during the heating season when weather deviates more than 3% from the 15-year average. Going forward, our Utility segment will have more predictable earnings as a large portion of our margin is now weather protected in support of our objective to generate reliable earnings. For instance, in fiscal 2022, our PA utility saw weather that was approximately 8% warmer than normal. With the weather normalization adjustment, this would have been an incremental $0.05 of EPS. The midstream and marketing team had a tremendous year as we strengthened our position as an important midstream operator. We expanded our interest in natural gas gathering systems in the Appalachian basin with our January 2022 acquisition of Stonehenge, now referred to as UGI Moraine East as well as the acquisition of the remaining interest in tenant. These investments performed well, and we are pleased with the strong production volumes during the fiscal year. We also continue to realize a significant amount of margin from fee-based income with roughly 84% of the margin in this segment generated from fee-based arrangements, including take-or-pays and minimum volume commitments. Moving to the global LPG business. UGI International's LPG business had an excellent year with higher unit margins amidst increasing volatility in commodity costs and a modest increase in volume despite warmer than prior year weather. Our LPG business in Europe remains strong and is well positioned to take advantage of new opportunities that may arise. At AmeriGas, we saw strong national account volumes and sustained ACE volumes when compared to pre-pandemic levels. We also continued to expand our cylinder home delivery service, Cynch, now offered in 25 cities in the U.S. Lastly, fiscal 2022 concluded our business transformation initiatives where we achieved total annual benefits of approximately $150 million at AmeriGas and €30 million at UGI International. These benefits helped to mitigate the impact of the inflationary cost environment that we experienced during fiscal 2021 and 2022. Turning to our progress in advancing our renewable strategy. During the fiscal year, we entered into several strategic partnerships with the intent to produce renewable natural gas and bio LPG, bringing our total renewables commitment to over $300 million to date. Our RNG project at Spruce Haven Farm in New York was commissioned on September 30. Once fully operational, we expect to produce approximately 50 million cubic feet of renewable natural gas that will be sold to a local utility, the environmental credit separately marketed by our subsidiary, GHI Energy. The Idaho RNG project, in which we have a minority interest, was also commissioned on September 30, and this facility is expected to produce roughly 250 million cubic feet of renewable natural gas annually. The RNG will be sold into an interstate pipeline and similar to other RNG projects and the environmental credits will be marketed by GHI Energy. We made important strides with these initial renewables commitments and look forward to additional investments that support our 3R strategy. Lastly, in June, we were pleased to issue our fourth annual ESG report entitled: Transparency, Action and Progress. We've made important progress against all of our ESG commitments and in advancing on our belonging, inclusion, diversity and equity by initiative. As part of these efforts, in fiscal 2022, we sustained investment in our employee resource groups and expanded our women's impact network across our global footprint. We also continued our partnerships with organizations such as the United Way, Big Brothers Big Sisters and The Human Library Organization. In addition, with the humanitarian crisis stemming from Russia's invasion of the Ukraine, we were honored to partner with a global non-profit organization, The World Central Kitchen, to assist Ukranian refugees by providing funds for food and food supplies as well as propane to fuel their kitchens. With all of these challenges, I am proud of our employees who have performed admirably in the workplace and in the communities that we serve. Now, I'll turn the call over to Ted to walk through our financial results.
Ted Jastrzebski: Thanks, Roger. As Roger mentioned, UGI delivered adjusted diluted EPS of $2.90, which was the second highest result after a record in the prior fiscal year. This slide provides a reconciliation of our GAAP and adjusted diluted EPS for fiscal 2022 and 2021. As you can see, our adjusted diluted earnings exclude adjustments, totaling $2.07 related to a number of items. First, the impact of mark-to-market changes in commodity hedging instruments, a gain of $2.11 versus $4.72 in the prior year. Adjustment for a $0.17 gain on foreign currency derivative instruments versus $0.03 in fiscal 2021. $0.03 of expenses associated with the corporate functions transformation in comparison to $0.35 in the prior year for all of the business transformation initiatives. $0.12 for the impairment of other assets, primarily related to Pennant, a natural gas gathering system in which UGI Energy Services had a 47% membership interest through to the fiscal third quarter. Next, in Q4, we had a $0.09 of tax benefit related to a tax legislation enacted in Pennsylvania to reduce the state's corporate net income tax rate. The legislation resulted in a $20 million benefit being recorded in fiscal 2022 based on the Company's analysis of future reversals of net deferred tax liabilities. We had a $0.03 loss on the extinguishment of debt associated with the refinancing at UGI International in Q1 and $0.12 of expenses associated with restructuring costs, which are largely attributable to a reduction in workforce and the related costs. On this slide, we provide additional color on the year-over-year performance by segment. I'll speak to the drivers for each segment shortly, but at a high level, in global LPG businesses, there was continued focus on margin management and expense control actions which partially offset net volume loss at AmeriGas and the effect of unprecedented volatility in natural gas and power prices on the energy marketing business in Europe. As mentioned previously, the reduction in UGI International's results was driven by the lower EBIT from energy marketing. Our natural gas businesses reported stellar results from incremental income from Mountaineer, increases in the distribution system improvement charge, or DSIC margin at UGI Utilities that were largely driven by record deployment of replacement and betterment capital, solid customer growth and increased gas gathering margins in our Midstream and Marketing segment. Turning to the individual businesses. AmeriGas reported EBIT of $307 million versus $385 million in the prior year, resulting from lower retail volumes and the effect of significantly higher inflation. Retail volume declined 8%, primarily as a result of the continued tail effect of last year's customer service challenges, staffing shortages and key delivery-related positions and conservation efforts in the higher commodity cost environment. This decline in retail volume, a $100 million impact to total margin, was partially offset by higher average retail unit margins and increased fuel recovery and tank rental fees. Operating and administrative expenses increased by $20 million, reflecting the effect of the rising cost inflation on vehicle fuel and bad debt reserves as well as increases in insurance claims and telecommunication expenses. These increases were partially offset by lower employee compensation and benefits of $22 million as we rightsized our workforce as well as reduced advertising and vehicle lease costs. UGI International reported EBIT of $254 million compared to $317 million in the prior year as headwinds from the energy marketing business and the effects of inflationary pressures were partially offset by higher total margin from the LPG business. Retail LPG volumes had a modest pickup over prior year despite weather that was roughly 5% warmer. This uptick was largely due to the recovery of certain bulk and auto gas volumes that were negatively impacted by the COVID-19 pandemic as well as favorable crop drying campaigns. Total margin declined by $118 million due to weaker foreign currencies and lower energy marketing margin, partially offset by higher LPG margin. Looking first at the LPG business. As I mentioned, there was an increase in total LPG margin due to higher volume and higher average LPG unit margins even in an environment with a 53% increase in average propane cost in Northwest Europe. Operating and administrative expenses were down $11 million due to the impact of the weaker euro, largely offset by the effect of inflationary pressures on distribution, personnel and maintenance costs. Turning to UGI International's Energy Marketing business. As we've seen, fiscal 2022 had unprecedented volatility, which led to margin pressures and the decision to pursue a strategic review of the European Energy Marketing business, which Roger will provide an update to shortly. Year-over-year, $63 million of the EBIT decline was attributable to energy marketing, and this primarily resulted from higher costs from purchases on the spot market and increased balancing cost. Next, Midstream & Marketing had record EBIT of $269 million, up 42% over last year due to increased natural gas marketing activities, higher earnings from renewable natural gas activities and incremental contributions from UGI Moraine East, the legal entity holding the Stonehenge assets acquired in January of this year. The $77 million uptick in total margin came from several aspects of the business. First, we had a $38 million increase in gas marketing activities, which includes peaking and $16 million from capacity management. The increase for capacity management was largely driven by the settlement timing of certain multiyear hedge contracts for store and volume, and this is expected to reverse when the gas is extracted from storage during the upcoming winter. Next, $15 million in incremental margin from UGI Moraine East, $9 million from renewable natural gas activities, which includes the impact of higher average pricing for RINs and LCFS credits and $5 million in higher retail power and generation margin. Our Utility segment also had a tremendous year with EBIT of $336 million, 39% higher than the prior fiscal year. This increase was largely attributable to the incremental earnings for Mountaineer, benefits from the DSIC mechanism and the continued strong growth in residential and large delivery service customers. The increase in operating and admin expenses as well as depreciation expense were mainly a result of the incremental expenses for Mountaineer. We've been delighted with the performance of Mountaineer, which was acquired in September 2021. It has exceeded our expectations and strengthened our diversified portfolio. Liquidity. At the end of the fiscal year, UGI had available liquidity of $1.7 billion, which was affected in part by $398 million of cash collateral received from derivative counterparties. Our attractive cash generation and strong balance sheet supports UGI's disciplined investment approach. And with that, I'll turn the call back to Roger.
Roger Perreault: Thanks Ted. Before we pivot to fiscal 2023 and beyond, I would like to reiterate the strong performance of UGI in fiscal 2022 despite the macroeconomic challenges that we faced. I am proud of how our teams have been committed to maintaining safe operations, serving our customers, identifying commercial and operational efficiencies and supporting the well-being of the communities we serve. We have a solid underlying base business, a strong balance sheet and the financial flexibility that enables growth investments. This foundation has led to an attractive track record of paying dividends for 138 years, consecutively increasing dividends in the past 35 years and delivering on our long-term financial targets with a 10-year EPS CAGR of 8.8% and dividend CAGR of 7.2%. Over the last few years, we shared our intent to rebalance our portfolio to an even distribution from natural gas and renewables in comparison to global LPG. As you can see from this slide, this year, we attained a rebalanced portfolio driven by both headwinds in the global LPG business that led to a reduced earnings contribution, along with record performance from our natural gas businesses. And now, we'll move the conversation to fiscal 2023. There is no doubt that our world is facing several obstacles such as rising inflation, higher commodity prices, labor shortages and supply chain challenges. We expect that these conditions will continue into fiscal 2023. And so as always, we are working on controlling costs and passing along higher costs where appropriate. I am confident that we are well positioned to optimize shareholder value as we have a differentiated and resilient portfolio, one that supplies essential energy solutions to a large customer base in both the U.S. and Europe, providing geographic diversification to our earnings stream. As we saw in fiscal 2022 and throughout our history, this diversification, when coupled with our discipline in managing margins, controlling expenses and driving operational efficiencies, has proven our ability to manage through challenging economic cycles. In addition, we are thrilled to operate in constructive regulatory environments that support investments to improve pipeline safety and reliability with attractive rates of return, and our robust supply and distribution network provides optionality and flexibility, enabling us to meet customer needs. With that backdrop, I would like to share with you our strategic priorities for fiscal 2023. At the core, our 3R strategy is unchanged as we execute to create sustainable value for shareholders and build even greater resiliency across continuously evolving economic cycles. I will speak to each of these priorities in more detail, but at a high level, our focus will be to: execute on the strategic review of the European Energy Marketing business, ignite market share and EPS growth at AmeriGas over the coming years, drive reliable earnings growth at utilities through capital spend and weather normalization, expand our renewables portfolio, advance on our ESG journey and continue our support functions transformation to achieve best-in-class services. Now let's start with the European Energy Marketing business. At the beginning of fiscal 2022, UGI International marketed natural gas and electricity in four European countries: France, Belgium, Netherlands and the U.K. Stemming from the strategic review that we initiated in the third quarter, we divested of our U.K. operations in October, and if all goes to plan, we intend to sell the business located in France in the first quarter of fiscal 2023. The remaining two businesses operate in Belgium and the Netherlands are expected to wind down with contracted volumes running through to the first quarter of fiscal 2026. Using those assumptions, we have provided the projected volumes and earnings impact for fiscal 2023 and 2026. Separately, our teams continue to take operational actions to mitigate the impact, including entering into negotiations with our customers for early termination of their contracts or more favorable terms and conditions, given the geopolitical situation. Moving to our growth strategy at AmeriGas. As we mentioned earlier, we completed the business transformation within the global LPG business, which provided some noticeable benefits such as additional sales channels, a new digital customer self-service platform, centralization and consistency of critical business processes, including routing and logistics. While there were some clear operational financial benefits, as previously mentioned, we also had some stumbles along the way, which impacted customers. As a result, we are focused on making strategic and operational improvements to enhance the customer experience and drive growth. This growth strategy is two-pronged. First, leveraging our scale and the enhanced operating model to create exceptional customer experiences, while we've made meaningful improvements in elevating the customer experience since the challenges we experienced in fiscal 2021, we are determined to drive further improvements through programs related to telemetry, more effective hiring and retention, enhanced call center processes, optimization of delivery routes and realign KPIs, amongst others. In addition, over the years, we have demonstrated a track record of effectively managing margins, and we intend to continue that history by optimizing our pricing strategies in the competitive markets where we operate to grow margin, while focusing on customer retention and satisfaction. Secondly, engaging in key strategic acquisitions. Our intent is to acquire great companies, integrate and capture synergies that are aligned with our margin expansion approach and realize greater benefits from the density of our service territories. These strategic actions are expected to drive market share growth over our planning horizon. As you are aware, we are the leading propane distributor in the U.S., but this is a highly fragmented market with close to 4,000 independent retailers who hold in aggregate more than 3/4 of the market, exclusive of regional and national retailers. We intend to gain a higher market share, increase volumes and grow EPS by roughly 8% by fiscal 2026. In addition, our intent is to reduce leverage at AmeriGas while keeping in mind the targeted long-term leverage ratio of 4x to 4.5x. Next, Utilities. We operate in a constructive regulatory environments in both Pennsylvania and West Virginia that support the modernization of infrastructure to promote safety, reliability and growth. With over 18,500 miles of pipeline and a long track record of attractive customer growth, we have a great runway of opportunities to deploy capital. Our plans to invest approximately $2.4 billion over the next four years demonstrate our commitment to investing in the business and infrastructure replacement. Our team continues to deploy record amounts of capital, both safely and effectively. In addition, with these investments, there is minimal regulatory lag as we recover approximately 90% of the costs incurred in less than 12 months at attractive rates of return. On the next slide. In fiscal 2023, we intend to further progress on our commitment to investing in renewables. Investing in renewables will support our objective of delivering reliable earnings growth while providing lower carbon intensity energy solutions to customers. We are pursuing investments in a number of key renewable energy areas, including RNG, Bio-LPG, renewable dimethyl ether, among us. Since we made this commitment in fiscal 2021, we have earmarked over $300 million for renewable projects, primarily those producing renewable natural gas in the U.S. Starting in this fiscal year, we are excited to bring several of these RNG projects online, beginning a steady cadence of placing new renewables projects in service over the next several years. ESG is at the core of our overall strategy. And over the past few years, we have made measurable progress given our strategic focus and sustained investments in infrastructure that lowers methane and greenhouse gas emissions, enhances system integrity and improve safety. In addition, we continue to invest in people, technology and processes to enhance the quality of life of our employees, customers and the communities we serve. Our fourth annual sustainability report issued in June 2022 highlighted a summary of the progress we made against previously established targets. A key emphasis for fiscal 2023 will be further advancing our goals of providing stakeholders with greater insight into our ESG goals and commitments, with the intent to release our first TCFD task force on climate-related financial disclosures aligned climate report. We are pleased with the tremendous progress in our ESG journey and are committed to the continued advancement of our sustainability program. And now, Ted will discuss our fiscal 2023 guidance as well as the longer-term financial outlook.
Ted Jastrzebski: Thanks, Roger. Yesterday, we announced our fiscal 2023 guidance range for adjusted EPS of $2.85 to $3.15. This guidance range assumes normal weather based on a 10-year average, the current tax regime and selling the French Energy Marketing business in the first quarter of fiscal 2023. As you can see, we're using a broader range for our guidance than the historical approach because of the uncertainties we are seeing with inflation, commodity price volatility and the potential impact to the remaining energy marketing businesses in Belgium and the Netherlands. On the slide, you'll see a comparison of the midpoint of our fiscal 2023 guidance of $3 to the fiscal 2022 adjusted EPS of $2.90. First, fiscal 2022's results were impacted by several non-recurring items. One, we had $0.06 benefit from capacity management margins that are expected to reverse when the gas is extracted from storage in the upcoming winter and another $0.07 due to certain onetime items, including asset sales at UGI International. Next, there are a few notable items to call out for the next year. As Roger discussed, we expect reduced headwinds from Energy Marketing at UGI International, given the anticipated volume reductions in latest forward curves. The estimated $0.10 reduction assumes divesting of France in the first quarter of the fiscal 2023 and winding down operations in Belgium and the Netherlands. Next to $0.12 pickup from the gas base rate case that was approved at the end of the year and a $0.09 headwind from increased interest expense given higher rates on short-term debt that is typically used to manage seasonal working capital needs. Lastly, we have other drivers, which are expected to provide an incremental $0.10 over fiscal 2022. This includes benefits from the strategic priorities that Roger discussed as well as the return to normal weather across our service territories. In establishing our guidance, we've also taken into consideration the sustained impact of inflation, which has affected employee compensation and benefits, vehicle fuel, maintenance expenses, among other charges. We expect that a disciplined approach to expense and margin management will continue to help us mitigate the impact of these global challenges. Next, I'd like to briefly discuss our longer-term outlook. While we view fiscal 2023 as a foundational year with some key strategic shifts as we address growth at AmeriGas and continue to exit the European Energy Marketing business, we are confident in the resiliency of our business and our ability to increase shareholder value. For the four-year period from fiscal 2022 to fiscal 2026, we anticipate that adjusted earnings per share will grow by 6% to 10% in alignment with our long-term financial commitment. The primary drivers for the anticipated increase in EPS through fiscal 2026 are: our planned investment of roughly $2.4 billion in pipeline replacement and betterment in our regulated utilities, which will also drive the need for new base rates; approximately 8% EPS CAGR at the AmeriGas business based on the strategic and operational actions that Roger mentioned earlier; the sale and wind down of the European Energy Marketing business; increased renewables earnings as we continue to invest in new projects while achieving attractive rates of return; disciplined M&A activity; and modest tax credits from the Inflation Reduction Act. On our capital allocation plan for fiscal 2023 to 2026, our outlook for strong sustainable cash flow growth over the coming years is unchanged. We expect to generate $5.7 billion to $5.9 billion in cash, which when coupled with debt will support new strategic investments. This slide walks you through how we expect to deploy the targeted $7 billion to $7.4 billion of capital between fiscal 2023 and 2026. Using the midpoints, roughly $1.3 billion will be used to meet our shareholder commitment on dividend growth, while maintaining a competitive payout ratio, $900 million for normal maintenance capital across the business, $1.6 billion in our regulated utilities businesses, which combined with M&A investments and other growth investments totaled approximately $5 billion, and this is expected to deliver stable returns. On the right, you see another view of how we expect to allocate the growth, M&A and regulatory capital over the plan period. We expect to invest roughly 24% in the global LPG businesses, primarily in acquisitions at AmeriGas as we look to drive EPS and market share growth. And overall, more than 75% of this capital will be invested in the Natural Gas business and renewables, helping us to maintain a rebalanced portfolio and create sustainable value for our shareholders. When we look at overall liquidity in the balance sheet, both remain strong and leave us with flexibility to execute our strategy. At the end of fiscal 2022, on a consolidated basis, over 90% of our long-term debt was at fixed rates are effectively hedged at fixed rates via interest rate swaps. In addition, we have no material debt maturities until fiscal 2024, providing protection in a rising interest rate environment. Lastly, our leverage ratio has been fairly consistent for fiscal year-end '20 and '21 and '22. And as we move through the plan period, we expect to pay down debt while keeping in mind our targeted leverage ratio of 3x to 3.5x. And now, I'll hand the call back to Roger.
Roger Perreault: Thank you, Ted. As I stated at the beginning of the call, I am pleased with our solid results for the year. While there are uncertainties in this business climate, I am confident that we are resilient and well positioned for growth, consistent with our proven track record. I view fiscal 2023 as a year where we will be strengthening our platform and leaning into the strategic priorities that I discussed earlier. Over the long term, I am confident that we are well positioned to continue delivering reliable earnings growth given our foundation and the investments that we are making in our regulated utilities, midstream and marketing, renewables and global LPG. We have a robust pipeline of attractive investment opportunities, which gives us confidence to deliver strong earnings growth in future years. Thank you for your interest in UGI and your participation in today's call. Now, we'll open the line for your questions.
Operator: [Operator Instructions] And our first question will come from Angelique Aiello of Bank of America. Your line is open.
Julien Dumoulin-Smith: It's actually Julien on here for on behalf of my team. If I may, just to pick up on the domestic side of the business first. Can we talk a little bit about the propane side on AmeriGas? And just how are you thinking about the volume trends? Obviously, nicely done here, you talked about some reversals, post-COVID, et cetera. How do you see that evolving? Again, I know we've talked at times in the past about the tension between price and volume. Just can you say a little bit more on expectations, especially if you look at '23 and onwards, around volume expectations considering what you've already just seen here in the latest quarter?
Roger Perreault: Thank you for your question. Yes, quite a few items that I certainly would like to highlight. First of all, Julien, as we've talked about in the last several earnings calls, we have been seeing our continued improvement in our operating metrics. When you look at delivering on time, our ability to serve customers quickly when they're calling in, answer their issues or their -- the opportunities we have, we've been able to see a continued improvement in trends on many different operating metrics. When we look at growth, specifically, also an area that we've seen continued improvement. With our new operating model that we've described several times, we are now able to absolutely drive that growth engine with the 75% market share, the 75% of the market that is currently served with moms and pops. So, we are able to really get out in front of that potential customer base, and we have seen good results with our ability to bring in customers. That being said, we've also seen continued churn. We've also seen a higher degree of customers leaving, which we attribute to some of the teething pains we had when we deployed the new operating model. We see that stabilizing. So we see that starting to turn around. What we've been doing overall to really address it is everything from making sure we're hiring drivers, getting drivers in our trucks, enabling us to deliver on time, routing optimization and pushing for efficiencies. We are adding digital tools in our operations around telemetry, for example, where we can better forecast when customers need product. And all of that leading to a significantly enhanced customer experience, where customers can deal with us electronically. They have a digital application that they can come and really interact with us differently than when you look at a very large percentage of the market today that is served with -- from moms and pops, where they just don't have that same capability. So I see '23 as a foundational year. It's a year where all of these pieces now are coming together nicely, and we absolutely expect to see now some nice trends going forward into '23 and beyond.
Julien Dumoulin-Smith: And if I may, just coming back to cost and cost levers here. I mean, obviously, you guys have been talking about doing what you can, if you will, throughout the year as well as talking about preparation into '23 for some time. Can you talk about sort of what's reflected in '23 in terms of mitigating efforts and measures and the ability to continue to source that? Again, I know you're not talking about beyond '23 per se. But as I think about sort of the integration, descaling out of Europe, for instance, how much of that is a headwind? Is that reflected in those earnings sensitivities you provided on the strategic impacts here, but also just altogether on the cost side, too?
Roger Perreault: Yes. So maybe a couple of comments on cost, and I'll talk a little more about energy marketing as well in Europe, Julien, to formulate the answer to your question here. So on cost, '22 was a year that we absolutely dug deep and made sure to control discretionary expenses. It was a year in which where open positions, we kept open for a period of time. And when we look towards '23, it's definitely a year where some of those open positions we're filling because we absolutely are focused on the customer experience and delivering our promise, while at the same time, our '23 guidance also includes our views of inflation. And there's no doubt that we have seen very specific inflations in specific areas. For example, driver populations, I think it's very well known across North America that getting drivers and retaining drivers, a part of that strategy must be ensuring that you're competitively paying that population, and that's certainly all built into our fiscal '23 guidance. If I move the conversation a little bit to energy marketing, you saw that last year, it was a pretty significant hit. But this year, we expect that hit to be cut basically in half which we see a $0.10 uplift from the prior year. And that's dependent on our concluding the sale in France, and it looks like that's something we expect to be done in the first quarter. And then we're going to continue to wind down the business in the Netherlands and in Belgium. So clearly, our portfolio, our volume of energy marketing is going to continue to diminish because as we talked about prior, we have not been resigning contracts. We are letting these contracts come to their natural conclusion, while also engaging with customers to ensure that the risk profile of continuing to serve them is balanced. Now, we are really looking at what volume are they going to take. If they take excess volumes, we need an ability to charge for that excess volume, et cetera, as we go forward. And those are efforts that we've been very focused on. So when you look at our guidance range of fiscal '23, it's factoring in these elements that I just talked about.
Operator: One moment. And our next question comes from Marc Solecitto of Barclays. Your line is open.
Marc Solecitto: Maybe just to start with a quick one. I was curious if you could talk about the expected cash proceeds side to the sales in UK and French Energy Marketing businesses.
Roger Perreault: Mark, thank you. For that question, I'll hand it over to Ted.
Ted Jastrzebski: Sorry, Mark, could you repeat the question?
Marc Solecitto: Just what are the expected cash proceeds tied to the sales of the UK and French Energy Marketing businesses?
Ted Jastrzebski: Yes. We won't be sharing the details on that until we close the books with the first quarter. I will say that we were very much motivated to -- as we have shared to either get out of these businesses or move towards wind down. And so, it is not we're moving these businesses out at a cost that is going to be fairly neutral to us. What you are going to see is dramatic write-downs of our derivatives positions. And just as a reminder, when you see those large figures on the write-downs of those derivative positions, those are derivatives that we established that do cover out of -- cover the contracts we have for that business. And so, it's fairly -- it's a fair offset to what we're seeing as hurts on the contracts that exist in that business. So, we will be showing those figures as we close the first quarter of the year, and we'll provide the actual final results on that sale.
Marc Solecitto: Got it. Understood. And then if we look at Slide 20 in the outlined international energy marketing volumes, have you hedged your exposure there? And could there be more volumetric exposure into the full requirement contracts that you have remaining?
Roger Perreault: Yes. Let me kick off the answer for this question, Marc. What we're seeing -- so again, we -- as we've described previously, we're like over 90% hedged, right? So we have these fixed price contracts hedged at over 90%, and the remaining portfolio is a very similar story. We do have very solid hedged positions for those customers that are going to be hanging with us in the Netherlands and Belgium. That being said, I think where there's a bit of an unknown here is what will the volume consumption actually look like. We see in Europe today that the European governments are encouraging customers to reduce consumption. I expect that to be the case. I expect that the customer portfolio, the customers will, in fact, be very sensitive to the amount of product they take. That being said, I can't be certain, right? There are no specific rules in Europe that are really mandating customers to take less product, but there's a strong encouragement to do so. Now just to give you some insight on our customers we serve, we primarily serve small, medium enterprises. So we're serving customers like schools and other establishments that are these medium-type enterprises with whom we are having conversations. We are, of course, having conversations with them to really understand what their consumption profile could look like, understand more from them, are they expected to take less volume. And if they are expecting to take more volume, then we're engaging with them on ensuring we have a commercial discussion that recognizes that there could be additional costs. And where possible, we would be passing on that cost to the customers.
Marc Solecitto: And then maybe lastly, as it relates to the 8% EPS CAGR target at AmeriGas through 2026, could you maybe peel back the onion a bit around the embedded assumptions related to volume versus margin recovery? And does that bake in any M&A? And what would be the capital costs expected to incur your or require to get to that 8% EPS CAGR target?
Roger Perreault: Yes. So, a few things that I'd like to highlight. It's a combination of many of the things you've described, right? We are expecting organic growth. So, we are expecting and we will succeed at ensuring that the customer churn continues to diminish during the period. We are always focused on effective margin management. Now again, that's when I say effective margin management, that's being very surgical in how do we manage margins when we see cost increases, which include inflation and, of course, product costs that we pass through to the customer bases and in addition to that, some acquisitions. What we've talked about is our excitement around reengaging into the acquisition space. We've invested now a couple of years of redesigning how AmeriGas operates with a much more centralized model, where we're now able to route trucks across the country centrally. We're able to do service -- apply service to our customer base across the country from a centralized center. We're able to handle customer calls from a centralized center as well. And when we think of the acquisition model, post synergies are going to be tremendous for us. We're going to be able to bring in these small, medium-sized propane distribution companies into our new operating model with what we expect to be very attractive synergies and based on the fact that we made these very significant investments to improve the customer experience, but also operate way more efficiently overall. So, we're excited about the combination of all the three areas that I described where we're going to continue to see improvements in customer churn, organic growth while at the same time, blending in some acquisitions. As we continue to blow this -- to build on this, of course, during our quarterly earnings, we're going to be able to talk more specifically around the capital that we are deploying to the acquisitions.
Operator: [Operator Instructions] And I'm showing no further questions. I would now like to turn the conference over to Roger Perreault, President and CEO, for closing remarks.
Roger Perreault: Well, thank you to all for listening into our call today and for the excellent questions. We look forward to following up in investor meetings in the coming weeks and, of course, at our next earnings call. I would also like to wish everybody a great weekend and happy Thanksgiving. Thanks, everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.